Operator: Greetings, and welcome to the Triple-S Management Second Quarter 2019 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Garrett Edson, Senior Vice President, ICR. Thank you, Mr. Edson, you may begin.
Garrett Edson: Thank you, and good morning. Welcome to the Triple-S Management Second Quarter 2019 Earnings Conference call. With us today are your host, Bobby García, President and Chief Executive Officer of Triple-S; and Juan Jose Román, the Executive Vice President and Chief Financial Officer. In addition, Madeline Hernández, Chief Operating Officer and President of Managed Care will be available during Q&A. By now, everyone should have access to the earnings announcement, which was released prior to this call and which may also be found on the company's website at triplesmanagement.com.Before we begin formal remarks, we need to remind everyone that each quarter, Triple-S management executives will provide their current view of the company's future, and thus, they will be sharing forward-looking information. These statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, actual results may differ materially from such forward-looking statements and what you hear on today's call. These statements are not guarantees of future performance and therefore, undue reliance should not be placed upon them. Further information on factors that could impact the company and the statements and projections contained herein, please refer to the safe harbor section in today's news release and the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law.In addition, this call is being webcast and an archived version will be available shortly after the call ends on the Investor Relations portion of the company's website at www.triplesmanagement.com. If you cannot download a copy of the release, you can contact us at 787-792-6488, and we will get one to you immediately and can add you to the distribution list moving forward.With that, I'd now like to turn the call over to Bobby Garcia. Please go ahead.
Bobby García: Thanks, Garret. Good morning, everyone, and thank you for joining us today.This morning, we reported total operating revenue of $879 million for the second quarter of 2019, up 15% from a year ago and adjusted net income of $1.12 per diluted share, 155% higher than the adjusted net income, after excluding the hurricane reserve development of $0.44 per diluted share that we reported a year ago. This strong financial performance was driven by a marked improvement in our Managed Care segment, along with solid results in our Life and P&C segments. More importantly, it reflects the hard work, commitment and relentless focus of the entire Triple-S team, which is executing superbly on the strategic transformation we launched in 2016.As you may recall, over the last several years, we've discussed our 3-pronged strategy at length: first, win and retain Medicare Advantage business; second, enable our members, providers and employees with advanced technology to improve outcomes; and third, develop an integrated approach to care delivery, building and leveraging on our ambulatory clinic network. The second quarter's results, along with the steady progress of our strategic and operational initiatives, give us the confidence to improve our full year 2019 guidance once again.I'll provide details on our revised outlook in a few minutes. But first, I'd like to address several drivers of the continued improvement in our core Managed Care segment. Importantly, Medicare Advantage premiums increased 31% from the prior year period, reflecting higher premium rates and more membership. We attribute this growth to three factors: first, a more competitive and strategic product design; second, concerted marketing, sales and retention initiatives; and third, a strong revenue management program with growing expertise in the accurate and timely capture of our members' medical conditions. As we mentioned last quarter, we would expect these growth trends to continue into 2020, when our HMO contract will have a 4.5 star rating and our PPO contract will be the only such product in Puerto Rico to have earned 4 stars. Medicaid is also showing strong growth. Although we are outside the open enrollment period, we added 9,000 new members in the second quarter, bringing us to nearly 364,500 beneficiaries as of June 30. That correlates to 85,000 new members or a 30% increase in membership in just 8 months under the new program, reaffirming our position as its market leader.Finally, our fully insured Commercial business has remained stable and is showing slight year-over-year membership growth, also reflecting a more competitive product offering and a more strategic approach to market.Turning to recent events in Puerto Rico, we know there's been a lot in national press regarding the island's political environment and its potential impact on the island's economy. So let me address this topic briefly. While the massive protests that led to the elected governor's resignation and the quick removal of his chosen successor through yesterday's unanimous decision of the Puerto Rico Supreme Court are unusual events, they also validate the strength of Puerto Rico's democracy. Both transitions have been orderly and have followed the rule of law. Although tourism has been temporarily affected, business across the island has, by and large, continued uninterrupted. We're monitoring the political situation closely, but we remain positive that these events will have no lasting impact on Puerto Rico's economy. As of June, the unemployment rate in Puerto Rico stood at 8.4%. This is the lowest unemployment rate in 55 years. Net job creation also increased by 7,100 in June over the previous year, with jobs growing in the private sector but shrinking in the public sector as part of the government's fiscal restructuring.Private sector jobs reached the highest level in 5 years. The Puerto Rico Treasury department recently reported a record number for revenue collection for fiscal year 2019 at $11.3 billion, 22% over the previous year. This number surpassed the estimates prepared by the Financial Oversight & Management board. Although the increase in revenues, in part, reflects recovery and reconstruction efforts after Hurricane Maria, we are encouraged that a key driver was a corporate income tax category, which recorded a 40% year-over-year increase. While still a bit early, the economic recovery since the hurricane appears to be real. Migration trends seem to have stabilized. The private sector is creating jobs, and we remain optimistic about Puerto Rico's long-term economic future.A quick update on P&C. We remain comfortable with the levels of our reserves with respect to hurricane-related claims, and this segment continues to be profitable as we focus on more conservative underwriting and take advantage of the hard market. Juan Jose will be providing more details on our P&C business in a few minutes. Finally, yesterday, we completed the conversion of our remaining outstanding Class A shares to Class B and effectively eliminated our dual-class structure. Our new single class of common shares simplifies our capital structure, which should help enhance value for our shareholders over time. Overall, we're very pleased with our second quarter and first half of 2019 as we continue to make strong progress with respect to our long-term strategy.In terms of our 2019 full year guidance, we are raising our operating revenue and adjusted net income expectations, improving our operating expense ratio and maintaining our consolidated claims incurred and MLR ratios. Specifically, we are raising our expectations for full year operating revenue to be between $3.29 billion and $3.33 billion, which includes raising expectations for Managed Care premiums earned net to be between $2.95 billion and $2.99 billion. We are maintaining expectations for our consolidated claims incurred ratio to be between 81.3% and 83.3% and MLR to be between 84% and 86%. We now expect our operating expenses as a percentage of total premiums earned and administrative service fees to be between 17% and 17.5%, which is an improvement from the previous range of 17.6% to 18.6%.We are adjusting our effective tax rate expectations to now be between 29% and 33%, a slight change from our prior guidance of 29% to 34%. And on the bottom line, we are raising expectations for 2019 adjusted net income per diluted share to be between $2.40 and $2.60 from the earlier range of $1.90 to $2.10. As a reminder, adjusted net income per diluted share excludes realized and unrealized investment gains and losses as well as any private equity investment income accounts for the recently issued share dividend and does not account for any potential share repurchase activity during 2019.To sum up, the hard work and effort we've put in over the past few years into our various initiatives has begun to pay significant dividends for Triple-S as evident in our second quarter and first half 2019 results. We continue to gain and retain membership in our core Managed Care business, we are modernizing and optimizing our technology to further improve clinical outcomes, member experience and our cost structure, and our clinic network continues to take shape as an important component of an integrated care delivery strategy.Juan Jose will now provide you with more specific financials by business segment. Juan Jose?
Juan Jose Román: Thank you, Bobby, and good morning to everyone on this call. As we reported in our press release earlier today, we continue to show strong operating results during this second quarter and are pleased with our 2019 performance so far. We reported second quarter GAAP diluted net income per share of $1.35 and adjusted diluted net income per share of $1.12 compared to GAAP net loss per share of $1.68 and adjusted net loss per share of $1.62 in the prior year period. The prior year period results were, of course, impacted by the $48 million after-tax unfavorable prior period reserve development experienced by our P&C segment related to Hurricane Maria. Our strong second quarter 2019 results were driven by the improved operating results of our Managed Care segment, particularly the Medicare business as well as our Property and Casualty segment.Let me now discuss the Managed Care results in detail. Managed Care premiums earned for the quarter showed strong growth of $116 million or 17% over the same period last year, primarily reflecting increased membership in our Medicare and Commercial businesses and higher average premium rates across all our Managed Care lines of business, particularly in the Medicare and Medicaid businesses. The higher average premium rate in the Medicare business reflect -- primarily reflects an increase in the average membership risk score. In the case of Medicaid business, the increase in the average premium rate is due to the change in the government's Medicaid model, as we now insure members across Puerto Rico, which results in higher average premium rates per member than when we insured members in only two regions under the previous contracts, in which premiums were below the island-wide average. All of these increases were partially offset by this year HIP Fee moratorium and an increase of approximately 110,000 member months in our Medicaid membership year-over-year, resulting from the aforementioned change in the program's model and a new entrant to the program on November 1, 2018.Managed care claims were up $87 million year-over-year, while MLR at 84.5% was 150 basis points lower than last year. After adjusting for reserve developments and risk score revenue, the adjusted MLR of the Managed Care segment was 85.3%, 130 basis points higher than last year. The higher adjusted MLR largely reflect the improved benefits in our 2019 Medicare product offerings, the 2019 HIP Fee moratorium and higher targeted MLR of the current Medicaid contract. As a reminder, the government Medicaid contract requires a minimum MLR of 92%, including the allocation to [indiscernible] of healthcare quality improvement expenses. These increases were mostly offset by higher premiums during the second quarter of 2019, stable medical trends and the impact of cost-containment initiatives.Moving on to the Managed Care segment quarterly operating expenses. The segment operating expenses declined $1 million from a year ago, reflecting a $12 million decrease in the HIP Fee due to a 2019 moratorium and partially offset by higher personnel costs, professional services and commission expense. While we do not provide quarterly guidance, we expect operating expenses in the second half of the year to be higher than the first half of 2019 due mainly to enrollment season for the Medicare and Medicaid businesses as well as for the individual small group and federal employee program in the commercial business.Let me comment briefly on our Life and Property and Casualty segments. Life premiums earned were up approximately 9% from the prior year period, primarily reflecting premium growth in the segment, Individual and Cancer lines of business. The segment's operating income remained steady at $5.2 million. Property and Casualty premiums written were up $4 million during the second quarter of 2019, mostly resulting from the increased sales and higher premium rates, particularly in Commercial accounts. Premiums earned were down $1 million from a year ago, mostly reflecting a decrease in the change in unearned premiums. The segment's operating income this quarter was $4.8 million compared to an operating loss of $71 million during the same quarter last year. The operating loss reported in the 2018 quarter resulted from the $76 million of favorable prior period reserve development related to Hurricane Maria claims.Our Property and Casualty segment saw almost no new claims activity this quarter related to Hurricane Maria, receiving only 16 new claims. Our efforts remained focused on settling and closing hurricane-related claims. As of today, the estimated gross losses related to this event remain unchanged. As of June 30, 2019, we have paid $658 million in gross hurricane-related claims and expenses and have closed nearly 96% of total cases. As of June 30, 2019, our P&C RBC ratio is approximately 200% after the $12 million in additional capital we contributed during the second quarter and the positive results of its operations. As in the case of all claim liabilities, the gross losses related to Hurricane Maria are based on our best estimate of the ultimate expected cost of claims with information currently on hand and are subject to change.Returning to our overall results; consolidated income tax expense was $13 million compared to a benefit of $28 million in the prior year period, mostly reflecting the higher income before taxes of the Managed Care and Property and Casualty segments. The income tax benefit in 2018 mainly reflects the loss before taxes reported in that period by the Property and Casualty segment. Total cash and investments at the parent company level was $33 million as of June 30, 2019. As Bobby mentioned, we are pleased with our strong operating results so far in 2019 and remain optimistic for the remainder of the year. Our focus continues to be our overall long-term growth strategy, further progress on our key initiatives and position the company for the future.We will now proceed to our Q&A section. Operator, please open the call for questions.
Operator: [Operator Instructions] The first question is from Peter Costa, Wells Fargo.
Peter Costa: Let me ask you a couple of questions about the top line first. Very big growth sequentially. Looks like there was a Medicare risk score true-up payment. Your commentary sounds like there was something in there. Can you describe how much of that revenue increase this quarter was an out-of-period risk score true-up?
Juan Jose Román: In the -- in this -- Peter, this is Juan Jose. This quarter, we reported a drop in the Medicaid -- in the Medicaid business of around $5 million of prior periods as well as we have adjustments related to our Medicare business that's around $12 million.
Peter Costa: That's reserve development, though. But I'm talking about on the topline.
Juan Jose Román: Not on the top line. So for this quarter...
Peter Costa: This is not the top line. So just $12 million? Is that a period from the Medicare business, not more than that? Because your guidance for revenue implies, it's a bigger number?
Juan Jose Román: No, there's a couple of things. Let me go back. So risk score revenue related to prior periods, that includes Q1 and prior year, is around $12 million. We also have a retroactive premium adjustment related to the Medicaid business of around $13 million. And lastly, we have Part C dual adjustment of around $7 million. Those are the adjustments recognized in Q2 related to Q1 '19 and prior year.
Peter Costa: Okay, that's closer. So just to be -- to sum up, so there's $5 million in Medicaid, $12 million in Medicare and another $13 million retro in Medicaid and then $7 million in dual adjustments. So that's the total of $37 million in prior period?
Juan Jose Román: I'm sorry, Peter. Yes. The Medicaid premium is not $5 million. My fault, it's $13 million.
Peter Costa: $13 million. Okay. So then that was double. So really $32 million is the revenue. Okay. All right. Then looking at your -- I got to go through the hurricane stuff again just to make sure we touch base on that. What's the total number of claims that you've received at the end of the second quarter?
Juan Jose Román: Total received is 17,736.
Peter Costa: Okay. And then the gross book liabilities, that's -- you said that was the same, so that's the $967 million. Is that correct?
Juan Jose Román: That's correct.
Peter Costa: And then the paid claims is $658 million. How many received claims have you got still on the books beyond what's paid, so the stuff you've received, but...
Juan Jose Román: So we -- received and not paid?
Peter Costa: Yes, correct.
Juan Jose Román: That's 700 -- around 700 claims.
Peter Costa: And what's the dollar value of those?
Juan Jose Román: So we still have in reserve around $309 million.
Peter Costa: Okay. What of the $309 million is IBNR?
Juan Jose Román: From that, we have an IBNR, $2 million and IBNR plus bulk reserves, $18 million.
Peter Costa: Okay. so that stayed about the same then as it was last quarter.
Juan Jose Román: That's correct.
Peter Costa: The $2 million in IBNR, okay. So very stable at this point?
Juan Jose Román: Yes.
Peter Costa: That all sounds pretty good. Yes, you look at some of the videos of the protests and things like that, and I start thinking about claim damage again. And did you see any increase in claim damage to your P&C business from the protest, or do you expect any?
Juan Jose Román: Not at all. We didn't saw any and we're not expecting any. There were minor really issues on the streets but in terms of claims, none.
Peter Costa: Okay. So don't pay attention to the video? Is that your answer?
Bobby García: Yes. it was a very limited area of San Juan.
Peter Costa: All right. Looking at your tax rate guidance, just help me understand that. You talked about higher Managed Care earnings, which implies a higher tax rate but yet, you lowered your tax rate guidance. Can you explain what's going on there?
Juan Jose Román: Yes. Remember that in Puerto Rico, we don't pay. Taxes are paid on individual legal entities, not on a consolidated basis. That's why probably it moved a little bit. So each entity as they move in terms of the income before taxes, that will impact a little bit our ratio. That's why it moved a little bit every quarter. As a reminder, for example, in our Life company, we usually pay under 10% effective tax rates, while now our Managed Care, coverage is 37.5%. So it moves a little bit based on how in each different legal entities, the income change.
Peter Costa: Right. So Managed Care seems like it has the higher tax rate, and there seems to be more earnings in the Managed Care segment. So you think that would drive your guidance for tax rate higher, not lower. And instead, you took the top end of your range down a little bit?
Juan Jose Román: Well, a little bit have to do that in the first half of the year, we have NOLs from prior years that we were able to use. And that when you go through the tax calculation actually have the impact of increasing our effective tax rate. So as we continue the -- as we recasted the remainder of the year based on the expected profitability, how why, although we have higher income, really it's just an impact of the use of NOLs that virtually change the ratios.
Peter Costa: Okay. And then prior period development in the quarter, was that positive in all three Commercial, Medicare and Medicaid?
Juan Jose Román: For the quarter, they were positive, yes.
Peter Costa: Okay. And then just last question, you beat the quarter by -- and I know it's my estimate versus what you guys were thinking internally, by a little more than you raised guidance. Was there something in the back half that I should be concerned about or that you're concerned about increasing in terms of cost?
Juan Jose Román: Couple of things, right. So when we prepare our guidance, the factors are first, we took into consideration the prior period reserve development in the first half and our forecast assumed no more positive or negative developments. Second, we are expecting a higher OpEx in the second half, mostly related to the open enrollment in Medicaid, Medicare and in the case of Commercial for our individual and small group and federal employees. So the second half of the year, we do expect an increase in those expenses. Mostly those have to do with the enrollment, with advertising and everything that is related to an open enrollment season. The other part is that we did recognize in the first half, prior period adjustments in the Medicaid that have to do with 20 -- with last year of around $5 million. And lastly, we did adjust our EPS considering the new number of outstanding shares as a result of the conversion and the issuance of around another million shares that we did yesterday. So our estimate for the year considers that an average for the remainder of the year of -- so the new total of shares outstanding will be 24,000,131. So that also impacted a little bit, right, the EPS because we're using now the new number.
Peter Costa: Got it. Okay, makes sense. And then I guess my last question is, in the past, when you've done conversions of Class A to Class B shares, it's taken time for those shares to come out into the market instead of all at once. Do you expect something similar this quarter, or do you think it'll be a more speedier flow?
Juan Jose Román: No, it will be similar to the past, it will be very slow. It will take months before -- because now, every people have to come and make the conversion of the work paper. And really, the story has been forever that it takes a lot of time before people actually convert. And then there is what to do, right, if they sell the stock.
Peter Costa: Got it. And the increased or the perhaps increased risk to Class B shareholders from your pre-IPO conversion, that used to be borne by the Class A shareholders. Now, that's on all the shareholders. Can you talk about why now is the time to have done this conversion and just go through sort of your thought process on if there's increased risk to the Class B shareholders?
Bobby García: Peter, this is Bobby. I'll take that question. There are a couple of considerations. First is that if you recall from the IPO, the risk that those potential claimants represented back then was thought to be much larger than would actually materialize. At the same time, the cases that didn't materialize took a long way to make it through the core system. So even though we could have converted all the As to Bs after 5 years from the time of the IPO, we decided to wait to feel more comfortable that we had good case law on our side and that as time passed, we would have a better sense of whether potential claimants would actually materialize. And what we saw is that we did end up with some decisions at the appellate court level, it is not -- none of these cases has actually had a decision by the Puerto Rico Supreme Court. But the standard of review was the statute of limitations or the most lenient statute of limitations which is 15 years. And so if you count back from today 15 years, that's 2004. And all of those redemptions of shares occurred by then.So taking the date of redemption as the commencement of the statute of limitations. Any potential claimant at this point would be time barred. So when you consider that plus the development of the existing cases every day, we have fewer cases. We thought it was the right time to do it as we balanced the interest of having a single class of shares versus maintaining that protection against what we consider a much diminished risk.
Operator: [Operator Instructions] The next question is from Sarah James, Piper.
Sarah James: You guys improved your SG&A guidance pretty meaningfully. I was hoping you could walk us through some of the math there. How much of that was from the higher revenue versus initiatives that you guys are working on? Maybe you could talk a little bit about your overhead expense initiatives that you have going on, and if you can comment at all about operating leverage. Should we think about this going forward as being similar relationships as your revenue growth to how much SG&A may go down?
Juan Jose Román: Sara, this is Juan Jose. Yes, so the decrease and the adjustment in our forecast is really mostly as a result of the significant increase in our revenues. We have a significant increase in our MA business, and the increasing costs just to absorb that increased incremental cost is not that significant. Going forward -- so that's mostly the reason for our adjustment. Going forward, we do believe that there are -- there will be opportunities in the future and we don't -- we have not provided guidance in the future but -- for the future but in general, we're still investing in our initiatives, clinical initiatives and improving the operations. So at some point, we should see also some benefits of completing those initiatives.
Sarah James: Got it. And then you flagged the higher risk course on MA in your earlier comments. Can you talk a little bit about what is driving that? So do you guys have programs going on where maybe you're improving coding? Or did the benefit design change this year, bring in a little bit different of a mix of members?
Juan Jose Román: Yes, it's mostly improving the coding. This is a result of various initiatives. The first one is a focus with our providers, position them just to do the right coding. So we have personnel on the street with the process to allocate our physicians or the person that does the reading for them, just to be sure that they reflect the proper condition of our members. Also, we have been making changes and improving in our systems that is allowing us to capture better and more data and at the same time, translate in us sending more information as part of our sending information to CMS. So all the combination of those actually are helping us to improve or to increase our risk scores.
Sarah James: Got it. And should we think about this higher PMPM from the higher risk score being something that could improve your margin profile on the Medicare product? Or strategically, are you putting it back into benefits? And I guess in context about how should we think about the 2020 benefit design stability because you are offsetting the hits. Now you've got these savings from the higher risk score, so how do you balance on the improved margin versus stabilized benefits and gain share?
Juan Jose Román: So for 2020, in general, right, because we have not provided anything yet. In the model, you sign up our product, we took into consideration the fact that the HIP Fee will be back on next year. But for next year, we did put into consideration the higher average premium rate and especially the increase 4 to 4.5 stars. We are now in our HMO product we are 4 stars, we will be 4.5 which means we'll have higher premiums. But also in our PPO, we went up from 3 stars to 4 stars. So both actually will saw an increase in the PMPM because of the increase in the stars. The benchmark also, I'm sorry, let me correct, from 3.5 to 4 stars in the PPO. Also the -- so for next year, we will have the increase in the benchmark, the increase related to our increase in the stars and a better risk score which increase our average premium rates. All that was took into consideration when we prepared our bid. So yes, at the end, we balanced improving our benefits for next year but also, we clearly took into consideration the impact of the HIP fee.
Sarah James: Got it. But long term, you still think about kind of a similar margin profile on Medicare than before you had these new risk scoring initiatives?
Juan Jose Román: Yes. So for -- yes, we still see and opportunities in our admins. But overall, yes, it will be -- yes, should be around this or slightly better.
Sarah James: Got it. And then last quarter, you gave us an update on the Medicaid product. There have been some contract changes and you guys moved to a new PBM. I was hoping you could give us another update now, how you see MLR trending on that product versus your expectations and any benefits you're realizing from the new PBM contract?
Juan Jose Román: So in terms of our Medicaid, it's tracking our bid on the contract of 92%, so it's tracking very well. Maybe my comment before about prior period adjustment has to do with the process. It's a new program and so we have been reconciled -- all of us participating in the program have been reconciling live and the new sell rates with the government. That's why we have seen some adjustment that has been done from quarter-to-quarter. It's part of -- it's a new program, and they change from 1 average premium rate to 37 different rates. So we have been working with the government. A significant project has been done already but we're not done yet. So but overall, the program is working very well. MLR is really -- and our cost is tracking our bid and our projections. So, so far, I'm pleased with how it's tracking.
Bobby García: And Sarah, this is Bobby. With respect to the PBM, just a note that the PBM change was for our Medicare and our Commercial business, or actually for our Commercial business because we consolidated with the PBM that had our MA business. Medicaid has a PBM carve-out, so they manage that directly. So I'll anticipate your question with respect to the PBM, we started at all January 1. It was a relatively seamless transition. And we're seeing actually the benefits of that in part through a relatively flat drug trend. And we're starting to work with them on some joint clinical and pharmacy initiatives.
Sarah James: Thanks for the clarification Bobby, that's helpful. Last one is on the clinics. So you guys have talked big picture that the clinic strategy could be something that helps increase demand for your commercial products and stickiness and retention. So as we gear up for the 2020 commercial selling season. I'm wondering how you're thinking about the sales pitch, now that you guys have more clinics opened and how initial conversations are going on in the commercial sales side.
Bobby García: Yes. Well, we see the clinics complementing our overall clinical strategy. As we see, the market there will be a continued trend. And we see our future as being at the center of an integrated delivery system. Not necessarily owning all the components, but that's the direction we want to head in. So the clinics have a broader purpose than just Commercial. With respect to Commercial, we see different angles to this. The large accounts actually have been interested in embedded work clinics. So they're on-premise, it helps them with their productivity, with absenteeism and with overall well-being. And some of the largest accounts or some of our larger accounts have decided to set up these clinics. So we have a few running, we have a few in the pipeline. For small accounts and for individual accounts, we've been looking at developing products that will have the clinic as a part of the benefit. So there would be no co-pay, but if you attend the clinics as part of that product. Again, we see it as yes, addressing the stickiness question, helping us with retention and growth. We also see it as an integral part of a broader clinical strategy that's seeking to improve outcomes and reduce medical costs. And that's still in the works, as you know.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Roberto Garcia for closing comments.
Bobby García: Thank you, operator. I'd like to close by reiterating that the second quarter's strong results and the continued upward momentum over the last several years, achieved despite a challenging environment in Puerto Rico are a testimony to our employees' commitment, a sound and long-term strategy, and the organization's focus on execution. When we reported our 2018 year-end results, we stated that 2019 would be a pivotal year. As we complete a number of foundational initiatives, the building blocks, if you may, of an integrated delivery system that we envision will enable healthy communities and increasingly focus on how to bring the different components of that system together. Today, we can reaffirm that earlier statement. We've made significant progress in our transformational journey and believe we are well positioned to generate sustainable long-term growth and profitability for the company by creating a unique holistic member experience that combines innovative clinical programs, a value-based provider network, advanced analytics, competitive pricing and superior service.We want to thank everyone for your time and ongoing support of Triple-S. If you have any additional questions, please reach out. Have a great morning.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a good day.